Operator: Good day, ladies and gentlemen, and welcome to the Clearwater Paper Second Quarter 2013 Earnings Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session, and instructions will follow at that time. (Operator Instructions.) As a reminder, this conference call is being recorded. I would now like to turn the call over to your host, John Hertz. Please go ahead.
John Hertz: Thank you, Patrick. Good afternoon and welcome to Clearwater Paper Second Quarter 2013 Conference Call. Our press release this afternoon includes details regarding our second quarter results, and you'll find a presentation of supplemental information posted on the Investor Relations area of our website at clearwaterpaper.com. Additionally, we provide certain non-GAAP information in this afternoon's discussion. A reconciliation of the non-GAAP information to comparable GAAP information is included in the press release or in the supplemental material provided on our website. I would like to remind you that this presentation contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, as amended. These forward-looking statements are based on current expectations, estimates, assumptions, and projections that are subject to change, and actual results may differ materially from the forward-looking statements. Factors that could cause actual results to differ materially include those expressed or implied by risks and uncertainties described from time to time in our filings with the Securities and Exchange Commission, including our Form 10-K for the year ended December 31, 2012, and our quarterly filings on Form 10- Q. Any forward-looking statements are made only as of this date, and we undertake no obligation to update any forward-looking statements. So now, turning to our second quarter financial performance. I'll start with a little housekeeping consistent with last quarter. We are providing both Q2 GAAP results and those that are adjusted to exclude a charge and a benefit that we believe are not indicative of our core operating performance. The charge is an approximate $1 million in relocation and exit-related expenses associated with the planned closure of our Thomaston converting facility, and the benefit is an approximate $1 million in mark-to-market adjustments to outstanding directors common stock units. Now, getting to the results. In the second quarter, we made significant progress remediating the execution and cost issues that impacted us in the first quarter. And as a result, we were able to improve adjusted EBITDA by $15 million and adjusted EBITDA margin by 290 basis points versus Q1. In terms of the specifics, second quarter net sales came in at $471 million, and that is up 2% versus the first quarter, as consolidated shipment volumes were up 1%, and consolidated average sales price per ton improved 1%. Versus the second quarter of 2012, net sales were down 1% on lower paperboard volumes and pricing. Second quarter adjusted gross margin of 12.2%, which excludes the $1 million of Thomaston shutdown cost, was up 200 basis points from the first quarter, due primarily to the improvement in tissue and paperboard pricing, as well as a $5 million reduction in TAD transition cost and the absence of the Arkansas major maintenance in the quarter. Those improvements were partially offset by $3 million of incremental costs associated with the temporary operating issues at Arkansas with our recovery boiler, as well as an unplanned electrical outage. Compared to the second quarter of 2012, adjusted gross margin is down 390 basis points. Within the pulp and paperboard division, the factors primarily responsible for the decline were lower paperboard pricing and volumes, the operating issues in Arkansas, as well as incremental wages, benefits, and energy costs. Within the consumer products division, the major factors were the TAD transition cost that continued into the current quarter as well as incremental wages and energy costs. Adjusted SG&A expense, which excludes the $1 million mark-to-market benefit, was $28 million, or 5.9% of second quarter net sales, as compared to 6.7% in the first quarter and 6.2% in the year-ago quarter. The lower adjusted SG&A spend, compared to Q1 resulted from several factors, including better receivable write-off experience, a true-up of profit-dependent accruals, and better medical claim experience. We expect adjusted SG&A to be $29 million to $31 million per quarter in Q3 and Q4. Adjusted corporate expense, including the mark-to-market benefit, was $11 million of the SG&A spend in the second quarter, down $1 million from Q1. Looking at the balance of the year, we expect adjusted corporate spending to be $11 million to $12 million per quarter. We are reporting $53 million of adjusted EBITDA for the second quarter. Adjusted EBITDA margin increased from 8.3% in the first quarter to 11.2% in the second, due to the previously described combination of increased sales with a richer product mix and cost structure improvements. Second quarter 2012 adjusted EBITDA margin was 14%. Net interest expense of $11 million was flat with the first quarter. Compared to the second quarter of 2012, net interest expense increased $2 million mainly because we are no longer capitalizing interest associated with the TAD project. We expect net interest expense to remain at about $11 million per quarter in Q3 and Q4. The second quarter 2013 effective tax rate on an adjusted basis was 37.4%, compared to 52.6% in the first quarter and 39% in the second quarter of 2012. The first quarter adjusted effective tax rate was higher than the second quarter, due to the amplifying effect low, pre-tax earnings, as on the effective tax rate. We expect our annual effective tax rate on an adjusted basis to be 38% for the remainder of 2013. So, all of that has resulted in second quarter 2013 adjusted net earnings of $12 million, or $0.51 per diluted share, compared to $2 million, or $0.11 per diluted share, respectively, in the first quarter. Second quarter 2012 adjusted net earnings and adjusted EPS were $23 million and $0.97, respectively. Non-cash expenses in the quarter included $23 million of depreciation and amortization, a net $1 million of equity-based compensation expense, and $4 million of non-cash pension and retiree medical expense. Full-time employee headcount at the end of the second quarter of 2013 was approximately 3,960 versus 3,860 at the end of 2012. Now, I will discuss the segment results. Consumer products net sales were $290 million for the second quarter of 2013; that's up 2%, compared to the first quarter, primarily due to a 2% rise in average tissue sales price per ton to $2,194. Retail pricing rose on improved product mix associated with higher price TAD sales, while non-retail pricing increased due to parent roll price increases and mix improvements in contract manufacturing. Tissue shipment volumes of 132,000 tons were roughly flat with the first quarter. While non-retail tons rose 3% to 57,000 tons due to higher demand for away-from-home and machine-glazed products, retail tons declined 3% to 75,000 tons due to a higher percentage of TAD tissue and the retail product mix. Keep in mind that TAD tissue has less fiber per case and, in fact, overall case sales did grow 2% from the first quarter to ($14 million), primarily due to the increase in TAD case shipments, along with higher shipments in away-from-home contract manufacturing and machine-glazed cases. Early indications confirm that consumer acceptance of our TAD bath product is very good, and we continue to monitor every aspect of the consumer sales rate. We are pleased with the level of commitment across the board with new and existing TAD tissue customers, and shipments have been steadily increasing and are expected to continue to ramp through the year. However, our expectations for TAD bath tissue cases shipped in 2013 has come down about 1 million cases from what we communicated in the first quarter, as decisions on TAD product selections for our couple of new and an existing customer have taken more time than originally expected. The TAD expansion-related shipments in the second quarter contributed $2 million to EBITDA. As we look forward, we are expecting that contribution to ramp to $5 million in the third quarter and $9 million in the fourth quarter, and then 20 – or excuse me – $12 million to $14 million in the first quarter of 2014. We continue to expect Shelby to produce 55,000 tons this year and to be at the full 70,000 ton annual run rate, as we exit the year. Consumer products adjusted operating margin for the second quarter of 2013 was $16 million, or 5.5%, versus $10 million and 3.6% in the first quarter. The improvement was primarily due to a better mix of tissue tons associated with TAD sales and the $5 million reduction in TAD transition costs, compared to the first quarter. Because our conventional bath inventory levels, while improved, are still not at target levels, we expect an approximate $2 million relating to customer transportation and converting inefficiencies to continue into the third quarter, as it relates to the TAD transition costs. As we expected, external pulp costs in the second quarter increased $16 per ton, or $1.5 million, sequentially. So, we're happy with the top line fundamentals within the consumer division, with cases, prices, and net sales all rising, sequentially. Shelby production continues to ramp, we are making good progress on the cost front and expect that consumer products operations will be in a position to support our consolidated $75 million quarterly EBITDA run rate goal as we enter 2014. Now, turning to pulp and paperboard division. Pulp and paperboard set net sales of $181 million for the second quarter of 2013 were up 3%, versus the first quarter, due to higher volumes and better pricing. Paperboard shipments increased 2% to 191,000 tons, as we move past the one-time effect of the Q1 consignment inventory build. Paperboard average pricing of $946 per ton was up 1% from the first quarter, due to a higher mix of extruded versus non-extruded shipments and our previously announced price increases. The price increases were largely implemented late in the quarter with the full impact expected to be reflected in Q3. Pulp and paperboard operating margin for the second quarter of 2013 was $25 million, or 14% of net sales, as compared to $18 million and 10% in the first quarter. The increase was primarily due to higher net sales, lower wood fiber costs, and no major maintenance, partially offset by the $3 million of expenses associated with the operating issues in Arkansas. Now, turning to the balance sheet. Capital expenditures were $17 million in the second quarter of 2013, which included $3 million related to the TAD project, bringing total TAD project expenditures to $260 million through the end of Q2. Capital expenditures for the remainder of 2013 are expected to be approximately $57 million, which includes $6 million associated with the TAD project. Long-term debt outstanding on June 30, 2013, was $650 million, which was flat with the March 31st amount. During the second quarter, we repurchased approximately 205,000 shares of common stock in open market transactions at a total cost of approximately $10 million. In the first six months of 2013, we have spent approximately $60 million on stock repurchases and 1,035,000 shares have been delivered to the Company. Let me remind you that the initial $50 million worth of shares were acquired under the accelerated share buyback program in the first quarter. Under that program, only an approximate 80% of the shares underlying that $50 million were delivered to the Company at the inception of the program with the remaining approximate 20% to be delivered at the completion of the accelerated program. The actual number of shares to be delivered to the Company at the completion of the program will be determined, based on the volume adjusted weighted average price, or VWAP, of Clearwater stock during the program period. Let me illustrate. If the accelerated program had ended at the end of the second quarter, the VWAP during that period was $48.59 and would have resulted in approximately 213,000 additional shares being delivered to the Company. As a rule of thumb, a $1 change in the program's VWAP yields an approximate 22,000 share change in shares ultimately delivered to the Company. We intend to complete our $100 million share buyback authorization by the end of 2013 and, therefore, expect to spend a remaining $40 million under the authorization by the end of the year. As of the most recent measurement date of December 31, 2012, our Company-sponsored pension plans were under funded by $70 million. We contributed $5 million to those plans in the first half of 2013 and expect to contribute an additional $12 million to those plans during the remainder of 2013. With regard to our liquidity, we ended the second quarter with $81 million of unrestricted cash and short-term investments. We generated $8 million of cash from operating activities or 2% of net sales as the TAD tissue inventory build and timing of cash receipts and disbursements at the end of the quarter adversely impacted cash flow from operations in the quarter. So, in conclusion, the Company did a good job of reigning in the cost issues that we saw in the first quarter, and we are well positioned for the second half of the year. I will now turn the call over to Linda Massman, who will discuss the Company's outlook.
Linda Massman: Thanks, John. Hello, everyone, and thanks for joining us today. It's been an active few months, since we spoke in late April. We've been focusing on improving our Q1 performance, by aggressively controlling costs, ensuring that Shelby production is strong, working with key retailers to implement TAD, and capitalizing on favorable market conditions with demand and pricing both up. We delivered a solid quarter, highlighted by sequential increases in net sales, adjusted EBITDA, and net earnings. We expect continued increases in net sales in the third quarter, as compared to the second quarter as the TAD bathroom tissue program accelerates and our paperboard price increases are reflected for a full quarter. Things improved in the second quarter and there continues to be room for improvement as we work toward our longer-term goal of achieving a 15% EBITDA margin. Now, let me discuss the outlook for each of our business segments. Beginning with the consumer products division, the overall US retail tissue market was up 2.2% to 250 million equivalent cases in the first half of 2013 versus the first half of 2012. Private label tissue grew 2.4% and still represents 26% of the tissue market, while Clearwater Paper cases shipped rose 4% to 28 million cases in the first half of 2013. Our third quarter outlook for the consumer division is for tissue production volumes to be up 1% to 3%, versus the second quarter, as Shelby continues to ramp and we incur less scheduled maintenance down time at our other facilities. We also expect a 1% to 3% increase in shipment tons, with increased TAD tissue, parent roll, and machine-glazed shipments. We expect average tissue price per ton to rise 1% to 3%, versus the second quarter, due to the increasing mix of TAD tissue. As John stated, TAD tissue shipments will steadily ramp through the year, and we're tracking to a $12 million plus quarterly EBITDA run rate associated with TAD as we enter 2014. On the cost side of the equation for consumer products, we expect our pulp costs to increase $2 million to $3 million, versus the second quarter, due to the higher mark of pulp cost per ton we saw in the May and June timeframe, as well as increased external pulp purchases that we will make to support our planned Q3 major maintenance in Lewiston. We do think that market pulp prices have peaked and we will begin to – and will begin to decline through the rest of 2013, and they will see the benefit of that in our fourth quarter financials. We expect all other consumer products cost to be stable versus the second quarter outside of the slightly lower transition cost. Turning to the paperboard business, the market outlook for our SBS products for the remainder of '13 is favorable. Domestic demand in our primary markets continues to trend upwards and is up year-over-year. We expect this trend to continue, at least for the next quarter due to strong backlogs, in a typically strong third quarter. We know the demand for SBS board has remained robust despite the new coated ivory board capacity coming on line in China. The effect of that capacity continues to be most evident overseas, with limited acceptance and impact in the US, as of now. We are, however, actively monitoring longer-term impact to the US market, and we have been and are continuing our efforts to adjust product mix and improve our cost structure, as we anticipate the increased impact of additional Chinese volume, as we look into 2014. Regarding our third quarter outlook for the pulp and paperboard division, production levels will be slightly lower, sequentially, due to the planned maintenance outage at our Lewiston mill, which we believe will cost $13 million in direct repair costs and another $3.5 million in lost paperboard production, incremental labor, and lost internal pulp, which will impact the consumer products division. However, we expect paperboard shipment volumes to be 2% to 3% higher, versus the second quarter due to solid inventory levels and strong demand. With that robust demand, prices are continuing to trend upwards, as our second announced $40 price increase in plate, dish, and tray was fully implemented in the market place. In addition, several producers, including Clearwater Paper, have recently announced a $45 to $50 price increase on folding cartons effective in early August. When combined with the effects of other price increases, we expect our average paperboard price per ton to increase 2% to 3% from the second to the third quarter. Other than the $16.5 million associated with the Idaho major maintenance, we expect pulp and paperboard costs to be stable versus the second quarter. Looking at the consolidated business for Q3 versus Q2, we expect increased shipment volumes and higher pricing to increase consolidated revenue by 3% to 6%. However, we expect this to be more than offset on the bottom line, by higher pulp costs and the $16.5 million for maintenance outage costs in Idaho. Before I finish, let me summarize for you all the data points provided in our prepared remarks that will help you understand how we see the third quarter cost structure evolving from Q2. In consumer products, we expect TAD transition costs to decline $2 million. Pulp costs are expected to be up $2 million to $3 million. In pulp and paperboard, Idaho major maintenance will cost an approximate $16.5 million. We do not expect the $3 million from temporary operating issues in Arkansas to continue. On a consolidated basis, the SG&A run rate for Q3 and Q4 is expected to be $29 million to $31 million. And the third quarter tax rate will be approximately 38%. In summary, volumes and pricing in both the tissue and paperboard businesses are strong and we expect more of the same in the third quarter. In addition, we remain confident in our ability to produce $300 million in 2014 adjusted EBITDA, which is based on 2011 pricing and input cost. Before we turn it over to questions, I do want to thank our loyal customers for their partnership in making private label a better offering to consumers and to our employees for their efforts in turning things around from Q1 and their focus on delivering our objectives. Regarding Clearwater's drive initiatives that I discussed with you last quarter, we are on track to achieving our strategic objectives as well. We are upgrading our infrastructure in IT to be more efficient, our employee safety standards are high, and we remain focused on our sustainability initiatives, as outlined in our published report. Finally, we'll be attending the RBC Global Industrials Conference on September 10th in Las Vegas and the UBS Global Paper and Forest Conference on September 12th in New York. We hope to see you there. Thank you for listening to our prepared remarks, and we will now take questions.
Operator: (Operator Instructions.) Our first question comes from Steve Chercover from D.A. Davidson. Your line is open.
Steven Chercover – D.A. Davidson & Co: Good afternoon, everyone.
John Hertz: Hi, Steve.
Steven Chercover – D.A. Davidson & Co: So, talking about 2014, it's good to hear you reiterate your $300 million EBITDA guidance. And since we know that the CapEx is already drawing to a close, is it reasonable to expect that the repo will be renewed or a dividend will be put in place?
John Hertz: Yes, Steve. What we said back in January when we refinanced the debt and announced the existing stock repurchase authorization was that we were committed in '14 and '15 to return 50% of discretionary free cash flow to shareholders. We did not specify whether that would be share repurchase or dividend, so we're open, right now, to either of those. And those are discussions that we will begin to have with our Board in the fall and with the final decision around Christmas time.
Steven Chercover – D.A. Davidson & Co: Okay. But then, it's reasonable to say that free cash flow is going to be better?
John Hertz: Okay. That's reasonable.
Steven Chercover – D.A. Davidson & Co: Yes.
John Hertz: I think that is reasonable.
Linda Massman: Yes.
Steven Chercover – D.A. Davidson & Co: That's good. You don't have to be a genius to figure that out, but it's nice to hear it. And then, two quick things on tissue. GP recently indicated that they're going to introduce a Quilted Northern facial tissue. Up until now, Quilted Northern has just been a bath brand. Do you expect that to hurt you at all in private label?
Linda Massman: You know, Steve, I think, it's too early to know all that, but let me just leave it at this, that we always monitor the national brands, and our strategy on tissue is to make sure we're competitive in every way with the national brands. Obviously, we have to pick kind of a target product that we would look to replicate, and that will, obviously, be a product that has good consumer acceptance. So, when we look to be that national brand equivalent in sheet count, dimension, quality, and we're really trying to drive towards having the consumer experience be identical to the national brand but, obviously, at a significant savings to both the consumer and the customer, so that's kind of the way we look at it.
Steven Chercover – D.A. Davidson & Co: Okay. And then, you – a final question. You indicated the early acceptance of the Shelby TAD has been very strong, but you also said that commitments have been a little bit longer coming than you earlier anticipated. So, is that because your prospective clients are maybe sampling some of the other new product that's coming to the market place? Or can you try and explain what seems to be a little bit I guess unexpected?
Linda Massman: I think the way I would characterize it is with any new product launch you do your best to predict how it's going to go. And in this case I would say it's probably been more function of the prediction that how it's going. We're actually very pleased with how customers are responding to our TAD launch and remain very confident that we're on track to that $75 million EBITDA in Q1 2014. Of course, the exact timing of any given customer is always a hard thing to predict, but we remain very confident.
Steven Chercover – D.A. Davidson & Co: Great. Thanks, Linda.
Operator: Our next question comes from Ian Zaffino from Oppenheimer. Your line is open.
Ian Zaffino – Oppenheimer & Co: Great. Thank you very much. Question would be on slide 12, on the bridge to get to the $75 million of quarterly run rate EBITDA. If you were to sort of include all the puts and takes of the price increases, some of the cost inflations, what would that then do to your $75 million, because I know you have put through some of the price increases towards the end of this quarter so they're not necessarily captured in this bridge, or am I – or are they and they just sort of net out with the increased cost?
John Hertz: Yes. I mean as you can tell, I’m not – we tried to give a little flavor given that when we first came out with the $300 million, we said the assumption was that same cost structure as 2011; a little flavor for how we've seen that kind of cost structure trend, versus what we saw now in the second quarter of 2013. And you can kind of tell by the red on there; it's more headwinds than it is tailwinds. And it's not something that's like very easy to precisely measure. But if you just make some assumptions, we kind of circle around about an $8 million per quarter in headwinds versus 2011 cost structure.
Ian Zaffino – Oppenheimer & Co: And that's as of today? Or that was as of the second quarter, because there were some changes in the second quarter?
John Hertz: That is if you look at what our cost structure makeup was in the second quarter of 2013 versus the full year of 2011.
Ian Zaffino – Oppenheimer & Co: Okay. All right. Thank you very much.
Operator: Our next question comes from James Armstrong from Vertical Research Partners. Your line is open.
James Armstrong – Vertical Research Partners: Good afternoon.
John Hertz: Hello. (CROSSTALKING)
Ian Zaffino – Oppenheimer & Co: Hey. The first question I have is on the electrical disruption at the Arkansas facility. How long did that last? And when did it happen?
John Hertz: So, it lasted two days.
Linda Massman: Yes.
John Hertz: And it happened right about the time of the tornados that were happening in that region. And so, that actually resulted in a bit of delay about getting the thing up and running because obviously the people needed to get things back up and running were somewhat otherwise occupied.
James Armstrong – Vertical Research Partners: Yes. Understandable. Switching gears a bit, what do you think next year, as you get into the – fully ramped up in TAD, what do you think your retail versus away-from-home mix and tissue will look like?
Linda Massman: Yes. That's a good question. It's going to depend on our selling process, I would think. It would mix out to more retail. I mean that would be our anticipated outcome, but it's going to depend on how quickly the customers ramp up with their adoption of TAD and then how quickly we can take the conventional tons and replace those into additional retailers. So, we'll try to work on modeling that out a little bit better for you and give you a little bit of help on that as we progress through the year.
James Armstrong – Vertical Research Partners: Very good. And then lastly, switching gears once more. On the EBITDA bridges, the other categories are somewhat large. I was just – could you just give us a bit of flavor what items are included in those other parts of the bridge?
John Hertz: You know it's kind of a grab bag of, you know, individually small things. I don't know that I – any one thing jumps out that I would identify over the others.
James Armstrong – Vertical Research Partners: Fair enough. Thank you.
Operator: Our next question comes from Joe Stivaletti from Goldman Sachs. Your line is open.
John Hertz: Hi, Joe.
Joe Stivaletti – Goldman Sachs: Hi. Good afternoon. I just wondered if you could – just a few numbers. Can you summarize the impact of higher market pulp prices on a year-to-date basis and also give us your expectations in terms of the full year there?
John Hertz: But, I guess, on a year-to-date basis, it's gone against us about $4 million. And so, if we think about the full year and we said $2 million to $3 million in the third quarter, we're up to $6 million going against us. But, then, we start to benefit, we think, from pulp prices coming down in the fourth quarter. I'm not going to throw a prediction as to how much we'll benefit right now, but we think that turns for us in our financials in the fourth quarter.
Joe Stivaletti – Goldman Sachs: Okay. And then, just a couple of things – sorry if I missed this – but your pension funding this year that you're expecting versus your pension expense that you're expecting?
John Hertz: Yes. So, I think, from a cash perspective, we spend ($17 million) and we're about $12 million to $15 million in expense. So, a little bit more on the cash than the expense.
Joe Stivaletti – Goldman Sachs: Okay. All right. That was all I had. Thank you.
John Hertz: Okay? (You that).
Linda Massman: Thanks.
John Hertz: Thanks, Joe.
Operator: Thank you. This ends our question-and-answer session today. I'll turn it back to management for closing remarks.
Linda Massman: Great. Thank you everybody for joining us on the call. We appreciate your time and we look forward to potentially seeing you in Las Vegas or New York or on next quarter's call. Thanks.
Operator: Ladies and gentlemen, thanks for participating in today's program. This concludes the program. You may all disconnect.